Operator: Good day and welcome to the Fourth Quarter and Full-Year Results 2014 Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Harry Vafias, CEO and President of StealthGas. Please go ahead.
Harry Vafias: Good morning, everybody. Thank you for taking the time to attend our conference call and webcast to discuss the fourth quarter and year-end results for 2014. My name is Harry Vafias. I’m the CEO of StealthGas. And joining on the call today is our Chairman, Michael Jolliffe; and Mrs. Feyan Secalaris [ph] who will be presenting the company’s financial performance at the later stage of our call. Before we briefly present our today’s agenda, I would like for all of you to be reminded that we’ll be discussing forward-looking statements and based upon the current expectations. If you could all please have a look at our disclaimer, Slide 2 of this presentation. Let’s proceed in summarizing today’s topic as outlined in Slide 3. I will begin with an overview of our company’s highlights for the year. Then I’ll discuss the financial performance and provide an update on the LPG market. Finally, after a close look at our share’s performance in 2014, I will share reviews on our company’s outlook. I would like to know that all amounts unless otherwise clarified are implicitly stated in U.S. dollars. Let’s move to Slide 4, in order to recap our company’s key highlights for 2014. With regards to our fleet and operations, we had the delivery of five newbuildings. In addition we sold two of our middle aged vessels which were then leased back by our company on a bareboat basis. Also we sold the vessels at a gain. This gain did not show up in our quarterly results as it will be amortized over the next four years. The sale and leaseback left us controlling a fleet of 47 vessels, 45 of which are 100% owned by us. Continuing our proven strategy, period chart as to reputable clients, fleet employment including spot voyages reached 85%. The following of a narrow lean hierarchy and tight control allowed us to report cost as low as possible and although we did face some increases early on in the year, in the fourth quarter we managed to contain the operating expenses. In that regard let me add that we are running a tight ship and we believe we are running these vessels cheaper than most of our competitors which especially in a difficult market is very important. In addition our G&A cost and management fees, compared very favorably to other public shipping companies whether they manage vessels in-house or through third-party managers. Our daily technical management fees have not increased for the past eight years since 2007 and at an average of $340 per ship per day are amongst the lowest in the shipping industry. With regards to financial highlights, we navigated through a difficult market environment quite successfully in 2014. With an increase in our net revenues and assets gearing fell to 34.4%, while our unrestricted cash balance stood strong at about $130 million. As far as our financial strategy is concerned, we successfully concluded follow-on capital raises of $150 million, which took place in three different stages and my family participated in two of these. Moreover in November 14, we reenacted the share buyback program in order to give value back to our investors. So far our company has bought back about 1.5 million shares and almost reached initial threshold. Today, we decided to increase that buyback program by another 20 million on top of the previously approved 10 million in order to support our shares and give value back to our shareholders. Looking at our company’s positioning against peers in Slide 5, it’s evident that StealthGas remains the leader in its segment. Our company has the highest number of owned vessels, almost double the size of our second largest competitor. We also have in line the biggest order book compared to company peers, ordered in the best possible yards for these types of hi-tech ships. In terms of our average fleet age, it was reduced in Q4 2014 to 10.9 years from 11.3 years in Q3 2014. Slide 6, it represents our fleet employment. In terms of charter types, out of a fleet of 45 ships and as of the end of 2014, we had 14 of those on bareboat, 24 of those on time charter and 7 in the spot market. The two vessels that are chartered in by our company the Gas Cathar and Gas Premiership are also on time charters. We have 11 contracts that extend beyond 17, 7 of which are done up to 2022, best on ongoing contracts as of the end of 2014, committed revenues amount to $220 million. For the year 2015 we have secured $19 million, translated to a fleet coverage of 65%. For 2016, the secured income is $43 million, with a fleet coverage of 30%, while for 2017 we have secured $27 million with a fleet coverage of 15%. Overall, it’s worth mentioning that 72% of all secured revenues will be received within the period 2015, 2017. Looking at the charting activity for January 2015, we managed to charter out our single crude oil tanker of our fleet for a period of five years with a flow rate and a profit split above a certain level. In addition, we managed to extend the time charters of two newbuildings to be delivered the second quarter of 2015 from two years to five years. Looking at our client base it’s evident that our company strives to maintain long term relationships with reputable energy companies. At this point, I would like to dedicate the next couple of slides to discuss further our fleet and our expansion plans. With regards to our fleet trading presented in Slide 7, currently 55% trades in the Middle and Far East, 25% trades in Europe and 20% in South America. We have dramatically increased our presence in South America in the past 12 months as a result of increasing product supply coming out of the U.S. and Brazil. However, the Far East still remains our major trading region. Proceeding to Slide 8, which demonstrates our fleet breakdown and development plans. By the end of 2014, our 45 vessel fleet was comprised of 41 LPGs and four tankers. With our newbuilding additions by the end of 2015 we will reach 55 ships, while by the end of 2017 the fleet will be comprised of 61 ships fully owned and 63 vessels controlled. Slide 9 presents our capital expenditure program. It’s worth to be noted that our company is aiming for fleet renewal with investments in modern quality eco vessels able to achieve significant OpEx savings. As evident by the table to the left, for the total of 15 newbuildings expected until 2017 we have committed $432 million. The majority of these vessels will deliver within 2015. One vessel not included in this analysis has already been delivered at the beginning of January. And in 2017 we expect to receive 4 semi-refrigerated vessels of larger capacity for which we have committed 50% of our total CapEx. It’s important to share that these vessels are of 22,000 cubic meter capacity each, semi-refrigerated, making them more versatile and ideal for medium whole transportation of LPG and petrochemical gases. As presented in the capital expenditure analysis to the right, $79 million out of our CapEx was already been paid as equity advances, another $154 million is committed bank debt, while further $125 million is debt under negotiation. This leaves us with about $75 million of equity funding requirements, taking into account that cash in our balance sheet stands at about $130 million. StealthGas is already in a comfortable position to equity finance its future CapEx requirements. I will now hand you over to Mrs. Secalaris for some brief comments on our income statement fourth quarter and then year, as well as our balance sheet for the year 2014, and later I will discuss the market and industry outlook.
Unidentified Company Representative: Thank you, Harry. Good morning, everyone. So let’s start presenting our financials with Slide 10, where we see the income statement for the fourth quarter of 2013 and 2014 respectively, as well as the year-end results. Focusing on the quarter results particularly 2014, we see that our voyage revenues amounted to approximately $35 million, marking a 9% increase compared to Q4 2013. This increase is attributed mostly to the addition of 5 newbuildings in our fleet. In terms of voyage costs we see $185,000 increase at this quarter. We had few more vessels in the spot market. Net revenue came at $31.5 million, higher than last year’s by approximately $2.7 million corresponding to 9% of voyage revenues for the period compared to 89.6 in Q4 2013. Our running costs increased to $11.5 million from $10 million last year, mainly because we added three newbuildings in Q4 2014, plus two vessels coming off bareboat charter. Dry docking costs were nil in this period. Since 2014 only one vessel was dry docked in Q1, whereas in 2015 a total number of 7 vessels were dry docked. Depreciation charges remain fairly stable in terms of net revenue percentage but marked an increase as 5 new vessels came on board. The item that heavily burdened our company’s operating income this quarter was the impairment losses of $6.2 million incurred as we intend to scrap some of our oldest vessels within 2015 and to be prudent proceeding to marking the value down to scrap value. However, an adjustment will be indicated below excluding this impairment loss which is not a cash item. Our operating performance actually improved in the last quarter of 2014. Based on the remarks of both operating income for the period was $1.9 million reduced compared to Q4 2013 by $5.7 million. Looking at finance cost charges for the quarter came in at $2.3 million, fairly the same level as Q4 2013. Other income line includes mainly income or losses from FX and interest rate derivative instruments. The loss increase compared to last year quarter reflects the change in the fair value of an FX instrument whereby with inside impairment to hedge some yen payments. Based on all of the above we reached a net income loss for the quarter of $1.2 million. Earnings per share for the quarter was minus $0.03 on 43.4 million outstanding shares compared to $0.17 on 32 million shares last year. Looking at adjusted figures these items exclusion of non-cash items such as impairment losses and derivative gain or losses from net income, we reached an adjusted net income of $5.9 million for the period which corresponds to $0.14 per share, compared to $0.16 per share last year, despite 35% increase in the number of shares outstanding. I will now briefly comment our year-end results. Our company achieved the net revenue of $117.8 million, marking a 10% increase comparing to last year. Compared to 2013, we increased our fleet operational utilization to 93.3% from 92.3%. income from operations marked a $6.1 million decrease from last year, as a result of impairment. In relation to other P&L items, we would like to note that the increase in finance costs for the year is mostly attributed to higher commitment fees. Adjusted net income for 2014 was $18.9 million compared to $18.7 million last year. This corresponds to $0.48 for outstanding share on $39.3 million outstanding shares, while in 2013, adjusted earnings per share was $0.66, or $28.3 million shares. Having completed our income statement analysis and before looking at our balance sheet, I would like to proceed to Slide 11, in order to discuss some operational data, which will give you a better understanding of our financial performance. In the fourth quarter of 2014, we managed to increase our fleet utilization to 99.8%, while our operational fleet utilization marked a small decline compared to last year due to the increase in spot market days. Overall, for the year, our company performed better as 2014 operational fleet utilization was 93.3%, which is 1% higher than 2015. Proceeding to our average daily results for Q4 2014, our adjusted time charter equivalent dropped to 8,600 from 9,200 last year. This decline is attributed to market conditions and decline in freight rates, therefore, some charters that took place in 2014 were lower than prior years. The adjusted time charter equivalent 2014 was less via $150 compared to 9,083 for 2013. I would like to briefly comment that the trend for declining rates abreast our revenue base even though operational characteristics continue to stand strong. We have high rates of fleet utilization and given our company’s strategy to probably hire our vessels and time charters, we have a low number of spot market days, it is therefore evident that when the market conditions improve, our revenues will also increase. Our adjusted total operating expenses follow the increasing trend in 2014. In Q4 2014, there were 4,500, while for the whole - for 2014, they reached the value of 4,800. The main reasons for this increase are the operation of more vessels compared to last year, the fact that number of vessels commensurating in South America, which is one of the most expensive trading areas and the number of all the vessels required to repair, especially the previous quarter. By excluding the operational cost of the new vessels and assuming the same number of vessels and higher types as in Q4 2013, we are getting realty less than 3% increasing total daily OpEx costs, exactly the percentage increase we got year-on-year in the fourth quarter. This fact shows that our company followed a successful cost containment strategy. I will now comment on balance sheet analysis, so let us have a look at Slide 12. As a general comment, I must say that our balance sheet depicts a growing and financially healthy company. On the asset side, the key growth driver is our expansion plan. Due to the addition of the new vessels, vessels value increased to $709 million, which corresponds to 75% of the total assets. Advances for vessels marked the 26% increase, compared to 2013, as we expect delivery of further nine vessels in 2015. A balance sheet item I would like to spend some time to comment on is our cash and cash equivalent balance, which marked the 50% increase compared to 2013, amounting to $129 million. One reason for this cash increase is the $115 million project of the three follow-on share offerings that took place this year, which increased our equity and consequently the company’s cash balance. In 2014, capital expenditure of $130 million were recorded based on the advances of $48.4 million and vessels acquisition of $81.4 million. Loan repayment totaled $17.2 million, all of the above including the operational costs were met by the company’s operating cash flow brought it from sale of vessels and retained earnings all signs of a financially healthy company. Consequently, this equity profits can be used to fund future CapEx requirements. I will comment on the analysis of the liability side by analyzing our standard debt balance. As of year ended 2014, total outstanding debt of our company amounted to $325.5 million from $352.9 million in 2013. This gives drawdowns realized in relation to the financial of newbuilding deliveries came up to approximately $48 million, while repayments of 75.2 million. Within Q4 2014, we repaid $43 million, including a $19 million voluntary loan repayment and $40 million for the two sold vessels. Our outstanding loan balance is bound to increase in 2015, due to delivery of a further nine newbuilding in the months to come. We expect by the end of 2015 to have a total outstanding debt of over $430 million, while our asset base will have surpassed $1 billion. Out capital base marked an increase this year of more than 100 million mainly to our - due to our share capital offerings. I will now hand you over to our CEO, Mr. Harry Vafias, who will discuss market and company outlook.
Harry Vafias: Let us proceed now to the market update in Slide 13. The LPG market continues to grow. Asia is the main driver of LPG demands. Graph to the left demonstrates a percentage annual change of rise in imports for 2014. As noted, China’s LPG imports grew by about 38%, Japan’s by about 6.5%, while Korea’s by about 30%. It’s anticipated that China’s new propane dehydrogenation capacity will ensure that Asia will remain the main driver of the seaborne LPG trade. From the supply side, U.S. has become a major exporter of LPG with 60% year-on-year export increase in 2014. The bulk of US LPG export is currently bound for Central and South America, but an increasing share is expected to go to Asia adding to distance adjusted demand. Slide 14, presents the evolution of LPG charter rates. At this point, I would like to touch upon a very important topic affecting the shipping industry that of falling oil prices. Oil price decline began last fall, when Brent oil dropped from $70 a barrel to a current level of below $50. The main reason behind this cost reduction was a sharp increase in global oil production. The new price regime in the oil market has naturally lowered the price of LPG and reduced charter rates until the market adjusts. As presented in the graph to the left, monthly rates for LPG vessels followed a declining trend in 2014. However, the regional LPG price spread between U.S. and other market is driving investment in new export capacity, a fact which I believe might positively affect the LPG shipping rates in the near future. Based on current market sentiment though, rates for small LPG vessels are expected to remain stable. Moving to Slide 15 and looking at the pie chart of the left, which is the age distribution of the small LPG fleet. A key characteristic is that older vessels are a significant part of a total tonnage, about 17% of the fleet is older than 31 years. Given the fact that rates have decreased, it’s anticipated the market trend will move towards increased scraping. Continuing to Slide 16, we present some market forecast data. In terms of LPG order book, newbuilding deliveries are expected to increase during the period 2015/2016. However, the majority of ordering activity takes place in the VLGC segment, while for small LPG carries, there are barriers to entry, as only a few yards in Japan have the capacity to build these ships and are currently fully booked until Q1 2017. In terms of fleet utilization although the broader shipping industry has been affected by larger order books, LPG vessels including and the VLGC’s are expected to have a fleet utilization of about 86.3% in 2015, marking the highest coverage across any vessel type. Share performance. I will now continue to discussing further company’s outlook commencing with a share performance for 2014. As evident in Slide 17, by the graph and commentary presented, our share followed a declining trend in 2014, negatively affected by falling oil prices, mild weather, and broader industry trends. The company’s financial performance and share buyback scheme had a positive impact on our shares and investors. In Slide 18, we present selected peers share price performance along with the evolution of the price of crude oil for 2014. As evident, there is a strong relation between StealthGas and competitors’ share performance. Most importantly, as observed, all shares follow the oil price trend indicating how the declining oil affected the LPG and LNG carriers. Proceeding to Slide 19, we are presenting scenarios on our company’s performance for years 2015 and 2016, when the company will operate a total of 57 and 59 vessels respectively. In general, I hold a conservative view on making predictions, but we supply a number of available scenarios. Historically, charter rates for small LPGs have varied between 7,000 in poor market conditions to 13,000 at peak times. As evident from the table presented, which indicates the effect of various time charter rates on our EBITDA, low rates, narrow EBITDA potential. In addition, we present a conservative view on fleet utilization for the year again due to market conditions concerning as a lower case for us to achieve a fleet operational utilization of 90%, while the upper case to maintain a fleet operational utilization of only 93%. Our overall assumption is that, all vessels are open and available for time charter. Based on all the above and from a conservative standpoint, we anticipate seeing our EBITDA vary for the year 2015 between $53 million and $75 million, while for 2016 our conservative views on EBITDA variation between $55 million and $82 million. In the optimistic case of improved market condition, if charter rates climb in the range of $10,000 to $11,000 a day, we expect for 2015 to see an EBITDA between $85 million to $108 million, and for 2016 an EBITDA between $91 million and $121 million. And that is of course without all the vessels delivered since for the four bigger ones, the four semi-refrigerated ones are only delivering after the beginning of 2017. Proceeding to Slide 20, the final slide of our presentation, we consider valuation of StealthGas against comparable companies. As evidenced from the peer group all companies trade at discount to now, while asset values exceed current enterprise values. In that respect LPG carrier shares, including StealthGas offering attractive pricing. Our shares trade at a discount to peer group, since we are under-valued we currently offer a very good entry point for investors. Now I’ll hand you over to our Chairman, Mr. Jolliffe, who will provide some concluding remarks.
Michael Gordon Jolliffe: Thank you, Harry. I would like to add that in spite of market conditions, we managed in 2014 to sustain satisfactory financial performance. We will continue to secure cash flow through period charters, and to focus on controlling our costs. In addition, we strive to continue giving value to our investors. Therefore our board approved the extension of the program for share buybacks up to an additional $20 million. We believe that this will send a strong signal to the market that we are keen to support the stock price and believe that we are greatly undervalued. Our biggest focus is to materialize our expansion plan. Our healthy financial position of low gearing and $130 million cash base will assist their expansion strategy regardless of market conditions. Being myself more than 40 years in shipping, I have learnt that regardless of market conditions, by having a strong balance sheet and low running costs shield you during the tough times and that is what we are being doing, since we went public some 10 years ago. To finish, I will paraphrase the investor saying never short a dull market. The unexpected fall in the price of oil may have resulted in a sluggish LPG market trying to adjust. But overall the long-term positive fundamentals in the sector are still there and there is still underlying growth that we believe strengthens the case for upside potential. Thank you.
Harry Vafias: We thank you very much for your attentions, and we look forward to having you in our first quarter results. And of course now we can open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question today comes from Natasha Boyden from MLV & Co. Please go ahead.
Natasha Boyden: Thank you, operator. Hi, Harry and Co. I got a bit of sore throat, so only a couple of questions. Harry, the decision to start scrapping some of your older ships, is this really a rationalization of your own fleet, especially given the increased costs associated with their operation or as one of the largest LPG owners you sort of trying to set an example to peers and competitors?
Harry Vafias: I think, Natasha, it’s a bit of both. Every quarter I get multiple questions about the older ships and why do we keep them, if they don’t make any money and why do we keep them if they lower our utilization and why do we keep them if they increase our running costs. And so now, with the market being worse than it was the last two years, and since the vessels have - one of them is 25 years and the other one is 24 years, and these are two oldest ships and scrap prices are still relatively high, we thought it is a good idea to proceed with their demolition.
Natasha Boyden: Do you think that, you might be setting a trend amongst your sector with that?
Harry Vafias: I hope there are few of our competitors that have even older ships than us, us being the leader if you show them that time is up for these ships and we need to give space for the younger and most technologically advanced ships. We hope that some will follow us.
Natasha Boyden: Do you have some kind of idea of how much you really needs to be scrapped in order to kind of rationalize the fleet and begin to push rates up?
Harry Vafias: As you understand the fleet, the LPG fleet is not overbuilt like for example, the bulk carriers. We are happy that our order book is only 10% of the existing fleet. Of course the more ships you get rid of, the better. But it’s not a matter that we have to scrap the big percentage of the ships, because do not forget these very old ships do not compete with the young ships anyway because they cannot load and discharge in all major controlled terminals.
Natasha Boyden: Thank you, Harry. I’m just going to turn quickly to another question. You mentioned in the press release and on the presentation, that you’ve increased your operations in Latin America and the Caribbean. Can you just clarify for me, why operation costs would be higher on those routes.
Harry Vafias: Yes. It’s a variety of reasons, one is group-tickets [ph], one is supplying consumables. They cost two to three times more than in Singapore. The port state control and the customs, they are much more slower and bureaucratic. All these things together lead to higher costs, lower utilization and therefore to take to agree to fix our ships on contract there. We need to see at least 10% to 20% premium, than the rates we see in the Far East.
Natasha Boyden: That’s really helpful, Harry. I’m sorry, I can’t ask any more questions, but I’ll hand over. Thank you.
Harry Vafias: Thank you.
Operator: Our next question comes from Jeff Gagan from Milwaukee Private Wealth Management. Please go ahead.
Jeff Gagan: Hey, good afternoon, gentlemen. Thanks for taking my questions today. For the Chairman of the company, I’m little curious as you thought about rewarding shareholders who have been quite patient, you’re buying in stock. What was that that made you decide to buy stock as opposed to implying a dividend again?
Michael Gordon Jolliffe: Well, I think that we’re a shipping company. And the net asset value of our fleet is about double the share price. So it seems to me that at this stage of the company’s development to spend some money on buying back our ownerships at half their real value provides good value to the shareholders and we’ll hopefully see an increase in the stock price as a result. We are also concerned in what is as we explained earlier a difficult market, that to start paying a dividend again with the uncertainty of the oil price, which is something I think that surprise all of us, including the major oil companies. It is a dangerous thing to do, because once you establish a dividend, it is only proper that you can sustain it. And since we cannot be sure that we could sustain the payment of a dividend in this difficult market, we felt that the best use of the small amount of spare cash we have, because although we have substantial cash on our balance sheet as Harry explained during the presentation, much of this cash of course is there to pay for the newbuildings that we already have on order and to provide, of course, working capital for what is a very substantial fleet. So we felt that the best use of the limited resources that we have is to buy back stock.
Jeff Gagan: I appreciate that answer, I would just remind you that the shares have traded at discount NAV at varying degrees over the last five, six years that I’ve owned the shares and it doesn’t seem to me, it’s an all or none decision and that some of your returning of capital to shareholders could potentially be in the form of the smaller dividend and the balance of that used at your discretion to buy in stock, agreeing with you that it is cheap, but just a thought from your shareholder base here. My second question Mr. Vafias, in putting this semi-ref’s in place, what does that really telegraph to us in terms of the strategy on a forward basis?
Harry Vafias: Nothing, really we haven’t changed our strategy, we are the worldwide leaders on the pressurized side. This is our core market. This is where we want to be. But as we discussed in previous calls, having four larger ships that can add to the distribution chain and for us being able to offer with brand new ships to the OE majors, but medium-haul and short-haul gas transportation is a positive plus. Don’t forget these ships, as of today, make about a million of month, which is in excess of 20% return on equity. So if the market stays as is when they deliver, they’re going to I think add positively to the bottom line.
Jeff Gagan: Well, of course, we’re interested in those kind of return on equities. Does this further imply that you will add more of the larger vessels in the future?
Harry Vafias: I cannot predict the future, Jeff. You know us, we are very conservative. If the rates of the smaller ships stay as they are, the answer is no. If we start like, we’re seeing an improvement of the oil - or the price of oil starts going up and pushing rates up and we find a good opportunity, yes, we might add one or two ships. But we don’t - I don’t think we’re going to be a huge player in these vessels, not in the short-term.
Jeff Gagan: All right. Thank you. I appreciate your time today.
Harry Vafias: Thank you.
Operator: Our next question comes from Josh Nahas from Fox Hill Capital. Please go ahead.
Josh Nahas: Hi, Harry. How are you?
Harry Vafias: Hi, Josh, are you well?
Josh Nahas: Yes, good. Last quarter you gave us a very helpful breakout of the older ships versus newer ships, what they were earning on the TCE. Do you have that information handy that you can give us?
Harry Vafias: You mean off my head what’s the difference between older and modern ships?
Josh Nahas: Well because in the 3Q press you actually broke out of the TCE for the - I think it was the 10- or 15-year-old ships versus the younger ships. So I’m just curious what that spread is this…
Harry Vafias: Yes, I mean, if we’re talking about let’s say a five-year-old ship versus a really old ship, really old anyway, anything above 18 years of age, I would say the difference in 20%.
Josh Nahas: And what about the spread between say the 3,500 cbm and 5,000 cbm to 8,000 cbm?
Harry Vafias: Modern ship or old ship?
Josh Nahas: Modern ship.
Harry Vafias: The difference would be between 5,000 cbm and 3,500 cbm would be $2,000.
Josh Nahas: Okay. On the funding slide, I just was comparing it to the 3Q slide. And it seems like the committed bank debt went from $170 million in Q3 to $153 million. So are the banks not willing to - did they reduce what was committed or - because I noticed the equity funding was $55 million in Q3 in the slide, and now it’s gone up because we’ve got less committed bank...
Harry Vafias: No, no it’s the exact opposite. Actually, we have so many banks willing to finance that we are holding off the draw downs, because we have the cash in order to not to have to pay higher interest rates. The number you say it’s different is because it was one draw down, so from a $170 million of committed debt we drew down $20 million, because some ships did deliver. And therefore now the committed debt is $150 million.
Josh Nahas: Okay. So but - but you are going to spend more cash equity funding with $55 million as of Q3. But so you’re going not lever the ships as much, is that it? And now equity funding is $73 million, so I’m just - that $20 million or so change, we’re funding more equity - we’re funding more cash equity than we were according to the Q3 slide.
Harry Vafias: No, no, but I don’t really understand what you’re asking, sorry. As I said, we have the $170 million of committed bank debt for our newbuildings. We took delivery of the newbuildings. So their committed bank debt became bank debt. And therefore the $170 million became $150 million.
Josh Nahas: Okay. But then, if you look at the slide, it gives you what your equity funding is, and it’s $73.8 million. And if I just pull up the slide from Q3, it was $55 million was the cash equity funding portion. So I’m just trying to understand the bridge $55 million to $73 million, does it mean we’re funding more - we’re just doing a lower LTV, so we’re paying more equity on the remaining funding? That’s what I’m trying to figure out.
Harry Vafias: I cannot answer that question. Unfortunately, I’m not - I don’t have the information in front of me. If you want, you can email me the question, I’ll come back to you. I have no idea, with such a huge order book, I cannot obviously remember all the different drawdowns and cash equivalents at any given point.
Josh Nahas: Okay, okay. We can follow up on that one. And just on the extension of the charters from two years to five years, can you give us any idea of what the rationale was and what kind of rate we’re earning over - obviously rates are pretty low right now. So I assume you’ve got to lock yourself in for five years on those charters, you got a reasonable premium to where rates are today.
Harry Vafias: Yes, yes, very good comment. Actually we did it because these ships are special cases. They are the only ships in the world that have a special refrigerating capacity. And they are ice class as well. And therefore we got a rate which in today’s environment is non-existent. We got 20% to 30% above market, that’s why we did.
Josh Nahas: Okay. All right. And then just one last question, in terms of cash, what’s the minimum cash working capital you need per ship, I know, if you’re going to buy back $20 million of stock and you have $73 million or so of cash funding needs, what’s the minimum cash you need to hold to fund your working capital per ship?
Harry Vafias: A conservative company in any shipping segment, especially if it has any ships in the spot market, needs to have a minimum $1 million per ship.
Josh Nahas: Regardless of size, so a VLGC and a Handy would need the same amount, or does it vary…?
Harry Vafias: If I had VLGCs, I would have more to be on the safe side, but any reasonable size ships, I’m not counting VGLCs that are very, very volatile. I would keep $1 million per ship to be on the safe side for a rainy day.
Josh Nahas: Okay. All right. Those are my questions.
Harry Vafias: Thank you.
Operator: [Operator Instructions] Our next question comes from George Berman from JP Turner & Company. Please go ahead.
George Berman: [indiscernible] gentlemen. Thanks for taking my call.
Harry Vafias: Hello, George.
George Berman: Quick question. The impairment charge you took on the ships to be demolished, is that the complete write-down to zero or are we going to get some back for the scrapping value?
Harry Vafias: We wrote them down with an estimate of about $350 or $380 per lightweight tonne. I think when we are going to scrap the ships, we’re going to get more. How much? It depends on market conditions. So prefer to take a very conservative approach on price per tonne and hopefully book a small profit when we actually scrap the ships.
George Berman: Okay. Great. When do you expect to have first ships fixed in the U.S. market? I understand that exports are beginning sometime early next year.
Harry Vafias: We have been asked this question multiple times over the last one-and-half year and we have replied, well, we don’t expect much U.S. business because the majority of the U.S. exports are done on larger ships. And our ships are used in the second step of the transportation process. When we lighter the big ships coming from the U.S. and then we take the product to smaller ports in the Far East or in Europe or in South America. So we have - we have done a couple of U.S. voyages but we don’t expect the U.S. to be a major hub for us.
George Berman: Okay. Great. Then I noticed that you’ve been very aggressive with your buyback program, announced I think in December and you’ve basically completed the first part already. At these low prices can you assume that you will be continuous aggressive buying back the stock here in the $6 or below $6 range?
Harry Vafias: George, we have proven through our actions not only from what we say, but when we think something is cheap we chase it. So we announced $10 million in November, within 45 days we had nearly spent the whole amount despite our low daily share volume. And now the board reapproved another $20 million on top, so a total of $30 million and if that is spent, I guess, depending on market condition and the board’s decision we will hopefully add more to that. I think $30 million is not a small amount for a company like us.
George Berman: Especially, if you end up buying back 4 million, 5 million shares that you just recently issued about twice where it is now. I think it’s a very prudent move. Let me ask you an overall general question. In Europe, in particular, interest rates are at times negative. Would it make sense for a company like yours to use leverage, especially if you have currently low interest rate environment a little bit more, maybe not for the ships, but to buy additional shares back. What is your industry such that even low rates mean 8%, 9%, 10% 12%?
Harry Vafias: We don’t speculate on interest rates. That’s not as you know, my job, I’m not a financial expert, I’m shipping guy. What we do is, we try to give value back to our shareholders to give you an example. In December, the most expensive loan we had was on one of our product tankers, and we took the prudent decision to pay down the whole loan of about $20 million, in order the reduce the cost to our shareholders. So these things are things that we do. We have a very low cost base, because of our balance sheet, we get new loans at very attractive levels, LIBOR plus to 50, LIBOR plus to 60, so very, very attractive levels, this is what we do. Speculating on interest rate and different currencies is not something we do and we are not good at it, that’s why we’ve lost money in the past with yen hedges.
Michael Gordon Jolliffe: And if I may add to that, if I may add to that, I think that the problem also with traditional ship finance, I mean, our ships all are financed with traditional shipping banks with first preferred mortgage finance. And, of course, these banks, as Harry said, I think earlier in the call, are having to compete with each other to lend money to us, because we have a strong balance sheet and because we have a low debt to equity ratios. However, these banks would not be happy to lend money to us that we were going to use to buy back stock. And because of the structure of shipping companies in general, not just StealthGas, it is not possible to do balance sheet financing. All the financing that we do is financed as first preferred mortgage finance of the assets itself and the shipping banks would not, I think be happy to lend this money to use it to buy back stock, however, attractive that may be. So I appreciate the question, it’s a good question. But that is the practical position.
George Berman: Great. So in other words, you could not get a fixed rate loan at today’s currently low environment. I appreciate you saying, not speculating in rates. But when rates are at zero, or now even below zero, I would find it prudent if you guys locked in a huge chunk of debt at say, LIBOR plus 0.5% or 1%, 2% 3%?
Michael Gordon Jolliffe: I wish shipping debt was available at those prices. It was of course in the distance past during the days before the recession. Today, you are paying somewhere between 2.5%, 3% generally over LIBOR for shipping debt.
George Berman: And it’s not fixed, right?
Michael Gordon Jolliffe: It’s not fixed, and there is no fixed rate in the business. Of course, you can fix it by hedging it, but, of course, there you have a cost...
George Berman: That costs money.
Michael Gordon Jolliffe: Yes, exactly right.
George Berman: Yes, yes. Okay, thanks very much. And we look forward to a great future I…
Michael Gordon Jolliffe: Hello?
Harry Vafias: I think we lost him. Anyway, thank you all for being on our call today, and we look forward in having you in our Q1 call in a few months. Thank you very much.